Operator: Greetings and welcome to the Alcon Third Quarter 2023 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Dan Cravens, Vice President and Global Head, Investor Relations. Thank you, Dan. You may begin.
Dan Cravens: Welcome to Alcon's third quarter 2023 earnings conference call. Yesterday, we issued a press release and interim financial report and posted a supplemental slide presentation on our website to enhance today's call. You can find all these documents in the investor relations section of our website at investor.alcon.com. Joining me on today's call are David Endicott, our Chief Executive Officer, and Tim Stonesifer, our Chief Financial Officer. Our press release, presentation, and discussion will include forward-looking statements. We expressly disclaim any obligation to update forward-looking statements as a result of new information or future developments, except as required by law. Our actual results may vary materially from those expressed or implied in our forward-looking statements. Accordingly, you should not place undue reliance on any forward-looking statements. Important factors that could cause our actual results to differ materially from those in our forward-looking statements are included in Alcon’s Form 20-F and our earnings press release and interim financial report on file with the SEC and available on the SEC's website at sec.gov. Non-IFRS financial measures used by the company may be calculated differently from and therefore may not be comparable to similarly titled measures used in other companies. These non-IFRS financial measures should be considered along with but not as alternatives to the operating performance measures as prescribed by -- per IFRS. Please see a reconciliation between our non-IFRS measures with directly comparable measures presented in accordance with IFRS in our public filings. For discussion purposes, our comments on growth are expressed in constant currency. In a moment, David will begin by recapping highlights from the third quarter. After his remarks, Tim will discuss our performance and outlook for the remainder of the year. Then David will wrap up and we'll open a call for Q&A. With that, I will now turn the call over to our CEO, David Endicott.
David Endicott: Thanks, Dan. Welcome to Alcon's third quarter 2023 earnings call. I'm pleased to report another strong quarter with sales growth of 9%, core operating margin of 19.5%, and core diluted earnings of $0.66 per share. These great results were driven by international markets in Surgical and global strength across the portfolio of Vision Care as we continue to outgrow our markets. As we look across the industry, we're beginning to see market growth rates return to historical levels of mid-single digits, and Alcon continues to outpace the market in nearly every category. Let me start with Surgical. Implantables, our technology continues to lead the market. Globally, one out of every three IOLs implanted is done with an Alcon lens. In premium lenses, the statistic is even more impressive with one out of two ATIOLs is an Alcon product. Our flagship lenses, Vivity and PanOptix continue to lead the category in the US and around the world. Additionally, we're continuing to expand in areas where we have opportunities to grow share, such as China. We continue to be encouraged by the resilience of ATI well penetration. Notably, global penetration was up 120 basis points versus prior year and up 30 basis points sequentially driven by international markets and in particular China where we are under-indexed which accounted for almost half of the growth year-over-year. In surgical glaucoma, our customers continue to be impressed by the Hydrus Microstent. Hydrus is the first and only MIGS device to report significant outcomes from a pivotal trial at five years. These results show that Hydrus offers long-term glaucoma medication reduction, reduction of secondary surgery, and reduction of interocular pressure. These are important factors for both quality of life and pair economics. And in the US, after reductions in reimbursement for other glaucoma procedures, reimbursement for Hydrus remains favorable. Now I'll discuss our expanding equipment footprint. Similar to last few quarters, we're continuing to see strong demand for our CENTURION and LEGION phaco machines in international markets as we work through the upgrade cycle. In the US, which has already gone through the upgrade cycle and is largely on the CENTURION platform, we continue to see strong interest for innovations like ACTIVE SENTRY handpiece. Additionally, we continue to see success in consumables. Consumables are a large and important part of our business as they represent a durable and recurring stream of cash flows. From dedicated items like our Fluidics Management System to our Custom Paks, Alcon consumables have an important role throughout the procedural journey. Additionally, as Custom Paks are individually customized by practice, procedure, surgeon, and sequence, they drive efficiencies in the clinic and the operating room. We're enhancing our equipment offering with digital innovation to create a connected ecosystem. At the recent American Academy of Ophthalmology conference, we announced US commercial availability of SMARTCataract. With SMARTCataract, practices can link data systems and diagnostic devices in the clinic with equipment in the OR. SMARTCataract has demonstrated significant time savings during the cataract workflow with almost 14 minutes per case saved versus traditional methods for certain patients. We continue to receive positive surgeon feedback as the product has started its official roll-out. Now I’ll turn to Vision Care where we had another quarter of strong performance in both contact lenses and ocular health. In contact lenses, we're seeing strong interests for our specialty lenses, including multifocals and torics. These are large, fast-growing markets that have historically been underserved by innovation. We've launched several new products in these categories, which are quickly becoming a favorite of eye care professionals and their patients. Our most recent launch is Total30 multifocal, which we introduced early in the fourth quarter of this year. Multifocals represent an important opportunity for us as many wearers drop out of contact lenses after the age of 40 due to dry eye, discomfort, and visual acuity issues. The multifocal market is valued at over a billion dollars globally and growing double digits. This lens is uniquely positioned as it offers our premium water gradient innovation at a more accessible price point. It's also the first and only monthly water gradient multifocal lens that provides excellent visual acuity at all distances. For eye care professionals, this lens leverages Alcon's proven Precision profile design, which delivers a 96% fit success. The multifocal modality completes the expanding Total30 family, which also includes a sphere and toric lens. Now, we're also seeing strong uptake of our specialty daily lenses, including DAILIES Total1 Toric, DAILIES Total1 Multifocal, and Precision1 Toric. Even after more than a decade in the market, the DAILIES Total1 family remains the gold standard in wear or comfort. Clinical studies showcased at the recent American Academy of Optometry meeting illustrated the performance of the DAILIES Total1 family. In particular, these studies showed that most contact lens dropouts who are refit into DAILIES Total1 could become successful contact lens wearers and that comfort was improved in astigmatic patients who switched to DAILIES Total1 Toric. Now let me move to Precision1, which is our fastest growing contact lens brand. As a reminder, Precision1 was designed to address wearer dropout by providing precise vision, long-lasting comfort, and ease of handling. Precision1 Toric brings these benefits to mainstream astigmatic wearers. And for eye care professionals, clinical studies show that the lens settles in less than 60 seconds for a 99% first-fit success rate. These types of innovations are a testament to our dedication to helping eye care professionals modernize their practices with leading technology to better serve the needs of their patients. Now, as we look to our ocular health business, we continue to see strong demand for our portfolio of eye drops. Driven by our multi-dose preservative-free formulations, SYSTANE continues to grow globally. Since 2021, we've launched the MDPF in more than 40 markets, and we continue to see favorable customer response. In the US, only about 25% of the fast-growing artificial tears market is in the preservative-free category compared to more than 50% in some European markets. With multi-dose formulations, we're seeing the US preservative-free category expand, where 1 point of growth represents almost $9 million of revenue for Alcon. Moving to ocular allergies, we continue to see strong retail and consumer interest in our Pataday brand family, especially Pataday Extra Strength. The convenience of a prescription strength allergy product available over the counter is appealing to consumers. In our pharmaceutical eyedrops business, we continue to be pleased with Rocklatan and Rhopressa. In particular, Rocklatan continues to perform well with low teens, total RX growth year to date. Lastly, in contact lens care, I'm pleased to report that the recovery of supply is largely complete. While we still have work to do to fully recapture lost customers, we're happy that this issue is behind us. Now I'll provide an update on our end markets. In Surgical, global cataract procedures were up approximately mid-single digits in the third quarter versus prior year. In contact lenses, retail market value was also up mid-single digits. Similar to last quarter, we saw a steady wearer trade-up and meaningful contribution from price. For the year, we continue to expect eye care markets to grow at or above historical levels. Now, before I pass it to Tim, I want to comment on how saddened we were by the recent passing of Matt Mishan, who covered Alcon at Keybanc. Matt was an asset to his organization. A pleasure to work with him, and our thoughts and sympathies go out to his loved ones. With that, I'll turn it over to Tim, who will take you through our financial results and provide more color on our outlook.
Tim Stonesifer: Thanks, David. We're pleased to report third quarter sales of $2.3 billion, up 9% versus prior year, including approximately 2 points of contribution from products acquired in 2022. We also saw favorable pricing in the quarter. Our third quarter US dollar sales growth included approximately 100 basis points of pressure from foreign currency. In our Surgical franchise, revenue was up 6% year-over-year to $1.3 billion. Implantable sales were $401 million in the quarter, up 5% year-over-year, mainly driven by demand for Vivity, our non-diffractive advanced technology IOL, in international markets. In consumables, our third quarter sales were up 7% to $661 million. In the quarter, we saw strong demand for cataract and vitret consumables, particularly in international markets, as well as price increases. In equipment, sales of $214 million were up 5% year-over-year and reflect growth over a strong base due to the strength of equipment sales last year. Sales were driven by double-digit growth in international markets due to the ongoing upgrade cycle that we've seen all year. Sales in the US were broadly in line with prior year as most surgical centers are already on the CENTURION platform. Given the remaining installed base of legacy phaco machines in international markets and our strong competitive performance, we continue to expect solid global equipment growth for the full year. Turning to Vision Care, third quarter sales of $1 billion were up 13%. Contact lens sales were up 9% to $612 million in the quarter. As David mentioned, our product innovation, including our toric lenses, continues to win in the market. In the quarter, we saw solid growth contribution from Precision1, Total30, and Dailies Total1 for stigmatism, which were partially offset by declines in legacy contact lens brands. We also saw a strong contribution from price increases. In ocular health, third quarter sales of $415 million were up 20% year-over-year. This growth was driven by our portfolio of eye drops and price increases. Approximately 11 points of ocular health growth in the quarter was from products acquired in 2022, including Rocklatan and Rhopressa. Now moving down the income statement. Third quarter core gross margin was 63.4%, up 210 basis points. This improvement was driven by higher sales, price, and manufacturing efficiencies from higher volumes. This growth was partially offset by inflationary pressures. We continue to expect gross margin to be pressured in the coming quarters as we sell inventory that was manufactured at a higher cost base due to inflation. For full year 2023, we continue to expect gross margin to improve versus last year. Core operating margin was 19.5%, up 350 basis points. The growth was mainly driven by higher gross margin and improved underlying operating leverage from higher sales, partially offset by higher investment in R&D, including higher spend following the acquisition of Aerie. Third quarter interest expense was $47 million, compared to $34 million last year, driven by higher debt following the funding of the Aerie acquisition and less favorable interest rates. The third quarter average core tax rate was 17.2% compared to 19.2% last year. The lower tax rate in the third quarter of 2023 is primarily due to the mix of pre-tax income across tax jurisdictions and the impact of discrete tax items. Core diluted earnings were $0.66 per share in the quarter, up 41% from last year. These strong results are another proof point that we are able to drive continued earnings growth through sustained operating leverage. Before I touch on our outlook for the remainder of the year, I'll discuss a few cash flow and other related items. Free cash flow for the first nine months of the year was $592 million compared to $475 million for the first nine months of 2022. The improvement versus 2022 reflects an increase in cash flows from operations and lower capital expenditures. Similar to prior years, we expect to see a significant increase in CapEx in the fourth quarter. Transformation costs were $30 million in the quarter and $370 million life to date. I'm proud of how well the team has executed this program. We've exceeded our savings target, which has enabled us to invest into R&D, grow the top line, and expand margins through operating leverage. We continue to expect to wrap up the entire program on budget and on time by the end of the year. Now moving to the 2023 guidance. Our current outlook assumes that markets grow at or above historical averages for the year. Exchange rates as of the end of October hold through year-end. And inflation and supply chain challenges continue. Based on the strong results in the quarter and first nine months of the year, we are tightening our year-over-year constant currency sales growth guidance to 10% to 11% for the year. This growth was partially offset by the continuing appreciation of the US dollar against our basket of currencies, which we expect to pressure our 2023 sales growth by approximately 200 basis points. Due to this increased pressure, we are updating our US dollar net sales guidance range for 2023 of $9.3 billion to $9.4 billion. Moving to core operating margin, we are maintaining the range of our full year outlook of 19.5% to 20.5% despite approximately 120 basis points of FX headwind versus prior year. We now expect interest and other financial expense to be between $215 million and $225 million. We are maintaining our core effective tax rate guidance of 17% to 19%. And finally, we're raising our core diluted EPS constant currency growth outlook to 31% to 33% due to the strong performance in the first nine months of the year. This growth was offset by approximately $0.25 of FX headwind versus prior year, which represents an incremental $0.07 since our last earnings call. Due to this pressure, we're also updating our full-year core diluted earnings guidance range to $2.70 to $2.75 per share. And finally, while we don't speculate on currency movements, using exchange rates as of the end of October would yield approximately $0.20 of year-over-year pressure on 2024 core diluted EPS. To wrap up, I continue to be very pleased by the strong operational performance by our team. We're ending the year with great momentum and look forward to the year ahead.
David Endicott: Thanks, Tim. To conclude my remarks, we're pleased with our strong results for the third quarter. And as I sit here in November, I'm proud of all that team has accomplished. Year to date, we've grown faster than the market in nearly every category. We've expanded core operating margin by 250 basis points. We've generated approximately $600 million in free cash flow, and we've grown core diluted earnings per share by approximately 20%, all while navigating significant foreign exchange, inflation, and a challenging geopolitical environment. And we have a lot of momentum as we move into 2024, and we're excited about the future. We remain focused on accelerating innovation and continuing to grow sales faster than the market and driving earnings through operating leverage. We're confident that our strategy will position us to deliver long-term growth and create significant value for shareholders. Finally, I want to thank our teams around the world for their commitment to our customers and their patience and dedication to helping the world see brilliantly. With that, operator, let's open up the call for Q&A.
Operator: Thank you. We'll now be conducting a question-and-answer session. [Operator Instructions] Our first question is from Patrick Wood with Morgan Stanley. Please proceed with your question.
Patrick Wood: Amazing. Thank you so much for taking the questions. So the first one, a bit of a specific one that I'm curious, your ORA system, ORA, how well spread out is that, do you think, amongst clinics, whether it's in the US or OUS, how much more growth is there to go there? And given the pricing structure of that and how that's connected to IOLs, how much do you think that helps you protect your market share across all [IOML] (ph) modalities over time, given the cost to clinics if they end up switching?
David Endicott: Patrick, thanks for the question. ORA is a fairly specific topic, but I would say that it's dominantly a US system. I think we have a bit of it in Japan. So, it does -- there's a lot of things that we do with our equipment. I think that endears us to the ophthalmologists and the surgeons. I do think that we have access to the ORA in ways that many folks do not. But I don't think there's anything specific that really is holding up our products there. I do think that that is a really good outcome system. So if you can do intraoperative aberrometry, it's a really valuable idea for getting a better outcome, and that's really how we position it.
Patrick Wood: That makes complete sense. Then a quick follow-up, please. On Hydrus, you obviously touched on the reimbursement challenges that I guess some of your peers face in the US. How should we think from your perspective going forward about how that market evolves when we think about MIGS and the share of the relevant players? Thanks.
David Endicott: Well, we continue to grow share in the MIGS space as we look at it. I think the stent business in particular has been very stable in reimbursement, and I think in this particular moment, that has been a comfort to surgeons, because I think they can predictably understand what they're going to get reimbursed and how that's going to play. I do think the big story here is that five years of data is very powerful and I don't think there's anybody else who's been able to show the kind of differences that we've shown in visual field loss and also in preventing visual field loss, in IOP reduction, in saving medications or preventing additional surgeries. What we're trying to get around the world really is a reimbursement understanding of how powerful that is and how much money we're saving the system. So work to be done there for sure. But I do think that we have some really exciting data that has been presented, continues to be well understood, and we're seeing nice progress there.
Patrick Wood: Brilliant. Thanks for taking the questions.
Operator: Thank you. Our next question is from Veronika Dubajova with Citi. Please proceed with your question.
Veronika Dubajova: Excellent. Hey guys, good morning and thank you for taking my questions. I also have two. First, I'm hoping that you could comment on the sort of volume dynamics in the cataract phase. I think, David, when you reported CT, you had expressed some hope and optimism that we might see some continued efficiency and throughput gains among surgeons, in particular in the US. It was notably absent from your prepared remarks this morning. I noticed in the press release you called out strength in international and surgical, but not really in the US. Just curious what happened in the US market in the third quarter from a sort of surgical perspective? And maybe if you can also briefly comment on those competitive pressures you were seeing in toric, ATIOLs and whether those have persisted? That's my first question, please.
David Endicott: Yeah, Veronika, thanks. Look, markets overall are relatively resilient. They stayed mid-single digits. Really, it was 4% globally, but 2% in the US. And so I do think you're reading that correctly. The international markets were stronger, and the US, I think, coming off of a very strong third quarter prior year, had a comparator that was a little bit tricky, but again, 2% growth was the number. I think as we look at that, what we were excited about was our implantables in many ways were very positive. So our US total share was up over prior year, our monofocal share was up, our PCIOL share was up, and sequentially our toric share was up, although we're still wrapping around, so over prior year it was down a little bit. So I think in the US, as I said last time, I think what we're seeing is an attenuation of kind of the trial phase that happens kind of when you get new products in the market. And we're seeing us kind of move back to what I think will be a stable environment where we really care mostly about the US ATI well penetration. Now on that comment, ATI well penetration was relatively flat. So I think we've been watching carefully. There was a run-up, as you know, for several years. We knew there was going to be a pause. That pause is kind of, I think, most of this year. And I do think that we should expect 50 basis points out of the US. Internationally, we saw a nice penetration growth of 120 basis points or better, more than half of that coming from China. But the emerging markets were really driving all that. So -- and that's a long way around to -- US is good solid share performance this quarter. Market was a little bit softer than we would have expected. But directionally, I think we feel very comfortable that, the way to think about this market is going to be kind of slightly better than historical growth rates. I do think that's kind of in the US, 3% is a historical rate, so probably a little better than that normally. And I do think that internationally it'll be better than that. So hopefully that gives you enough.
Veronika Dubajova: No, that's very helpful. Thanks, David. And then my second one is for Tim. And Tim, thank you for the $0.20 FX headwind for fiscal ‘24. Super helpful for us as we anchor our expectations. Just curious if I kind of move operationally, installations obviously come down significantly. I'm just curious how you feel about your ability to drive that roughly 150 basis point margin improvement that consensus has in numbers at this point in time, and any sort of tailwinds and headwinds you'd call out to that at this point in time? Thanks, guys.
Tim Stonesifer: Yeah, so we'll give formal guidance in February, but appreciate the fact that you guys are updating your model. So let me give you a little color. The FX, to your point, we wanted to make sure people understood that. And I'd say a couple of things. One, that assumes October rates hold. So keep that in mind. And the other thing that I would add is just given the phasing of the appreciation of the US dollar, roughly, call it, 75, 80% of that pressure will come in the first half of 2024. So as you update your models, take that into account. From a P&L perspective, I would say that revenue will grow -- will continue to grow faster than the markets. We're going to continue to invest in R&D. We're going to continue to drive and improve our innovation pipeline. That's key to the revenue growth along with commercial execution. R&D, I would say, we've said since the spend 7% to 9% we feel is kind of the right range. Cost as a percent of revenue, we'd like to be at the high end of that range. So that depends on the project pipeline and what we have running. So that's what we would shoot for. On the SG&A front, we're going to continue to be disciplined around our costs as we have been in the past. We're going to try to optimize that cost envelope and keep it at inflationary type levels. We're going to continue to prioritize our investments towards customer-facing activities. That's really what's going to drive that revenue growth. And if we do that, then that should drive nice operating leverage to your point. I would say, listen, the one thing I think we've been able to demonstrate is operating leverage and margin expansion. Now it's been a little muddied up by FX, but if you go back to 2022, we've grown margins. We grew margins in ‘22 versus ‘21 by 240 basis points in constant currency. If you look at 2023 year-to-date, we're up 250 basis points in constant currency. So we would expect that to continue. And we're going to do that by investing in the top line and managing our cost base. And then the last thing that I would say is on the tax front, I would just keep pillar two in mind. So assuming pillar two is implemented in 2024, that has about 2 points of impact to our effective tax rate. So that's how I think about next year, and we feel very comfortable with the long-term goals that we laid out.
Veronika Dubajova: Great. Thanks, guys.
Operator: Thank you. Our next question is from Larry Biegelsen with Wells Fargo. Please proceed with your question.
Larry Biegelsen: Good morning. Thanks for taking the question. Two for me. One for you, Tim, on price. How much did price contribute to the ex-FX growth of 9% in Q3, and how do you see price in 2024 versus 2023? And I have one follow-up.
Tim Stonesifer: Yeah, price is a little bit choppy, as you know, Larry. It's driven by, when we go out with the price increases, what the realization rate is. So I would look at it on a year-to-date basis. And if you look at year-to-date, it's about a third of our revenue growth. As far as 2024, we're going to continue to monitor the market, see what competitors are doing, see what inflation is doing, and we would expect to continue to toggle that price with inflation as we see that impacting the marketplace.
Larry Biegelsen: That's helpful. David, one for you on implantables. How are you thinking about growth in the global implantable business going forward, given J&J, Bausch, and Rx site have new IOLs either here or coming. Can you grow that business, call it mid-single digit, like we saw this quarter and what's next for Alcon and implantables? Remind us how far away you are with your tunable lens. Thank you.
David Endicott: Yeah, look, what we think right now is that the international markets in particular have real opportunity. And I would say that, as you look at penetration, which is really the main thing, I mean, let's assume that, we've seen -- there are mostly implantables that you're talking about, we've seen in the international market. So there's nothing really new coming into the US, save maybe one or two. And so I think our view is that penetration is going to continue to be the major driver for us. We're looking at kind of 50 basis points a year would be a good result. I would love to see it better than that. But in this quarter, internationally, the penetration grew 120 points. So, 120 basis points. So that was a positive. It came in markets where we also have real significant opportunities. So think about it as, we're wildly under-indexed in China, we're under-indexed in India, and also at some of the growth in emerging markets in Southeast Asia. So I do think that there, as we think about the world, the opportunity to implantables is in the international markets. It is in penetration in the US. And it is in kind of steady performance. There'll be some next generation products. They're a little ways out for us. We're pretty much consistent with what we said at Capital Markets Day. I do think the one thing to consider is that we have multiple vectors of growth here. I think one of the things that maybe isn't appreciated enough is how big an opportunity Hydrus might be, how big an opportunity some of our torics and multifocal and reusable contact lenses are. We've got a lot of stuff going on in equipment and in consumables that's coming in the next 12 to 24 months. We've got eyedrops, the multi-dose preservative free business is growing really well. We've got contact lens care back on track. We've got Rx that's still moving nicely. So I would just make sure you're giving a fulsome view of how we're going to grow, because our view is almost every one of those categories, we can outgrow the market. So we're feeling pretty good about the market growth and then fundamentally how we perform inside of it.
Larry Biegelsen: Thank you.
Operator: Thank you. Our next question is from Daniel Buchta with ZKB. Please proceed with your question.
Daniel Buchta: Yes, thank you very much. Hello gents. Maybe the first question just to follow up a bit on the surgical performance and thanks for the comment on how the market has done. But I mean at least compared to what consensus was expecting for today's result, I mean the performance in surgical was probably a notch weaker. Is this purely the market or do you see any product innovation from competitors? Are there seasonal factors that have influenced your organic growth momentum a little bit in this business? So, I mean, yeah, because I think we would have all expected a little bit of a strong momentum in surgical. And then the second question, maybe an update on China VBP. Do you have an idea already on the timeline when it should concrete, how it may look like, and then ultimately, of course, the question on how it may affect you in 2024 and maybe in 2025, if it's rather a bit slower, the implementation? Thank you very much.
David Endicott: Yeah, I mean, look, I would put really a fine point on the growth number as really this is market. What we saw in the second quarter, I think maybe people got a little bit enthusiastic about, was a 7% procedural growth in the second quarter. That's not a normal number, nor was the first quarter, which was again, very high number. So when you come back to 4% globally in the third quarter, that's a pretty normal number. And you should expect the market to kind of move to a mid-single digit normalization over time. And that's really what we're trying to communicate is procedural growth on a normalized basis is going to be kind of in the low mid-single digits, depending on what we see. We think it's a little bit better than that because there's some backlog, because there's some productivity gains. But when you look at the third quarter, it was 2%. So if you look at the gap between us and the market, we grew faster than the market in Surgical in almost all three categories. So my view is that with a little bit of a softer market, I think that's mostly a US comparator from prior year, because there was a big bounce back last year. But that really is, I think, what's happening. And I do think we'll see a steady kind of mid-single growth going forward. What I do think also on the on the China piece is that we are in a position to really take advantage of China at some point. We just haven't really -- we didn't participate in the VBPs in the past and the VBP had some very old products in it. So we weren't 100% clear as to how that would impact the private markets and our strategy, I think, was very successful as we went through it. But we're evaluating the VBP. It comes out, I think in the end of first quarter, early second quarter, something like that. We'll have to see how that turns out. But I think directionally, I would think about China and Asia and many of the developing markets as an opportunity for both penetration to grow, but also our share to grow. So I think those are kind of where we're thinking about growth opportunities, as well as obviously penetration in Europe and the more in the US. So that's kind of where we are.
Daniel Buchta: Okay. Thank you very much. Very helpful.
Operator: Thank you. Our next question is from Ryan Zimmerman with BTIG. Please proceed with your question.
Ryan Zimmerman: Good morning. Thanks for taking the question, and I appreciate the update. Just, some of your peers have called out, particularly in MedTech, and this is more for Tim, that supply chain inflationary numbers have been easing. I know you're still factoring into your guidance. We got a pretty good CPI print yesterday. So I'm just kind of wondering what you expect from here into 2024 from an inflationary or supply perspective, appreciating that freight costs have come down, energy costs have come down, et cetera.
Tim Stonesifer: Yeah, I think if you read the prints, we would expect inflation to come down. The one thing that's really important to understand is how that inflation works its way through the P&L. So I'm sure you know this, but we are still working through it. It takes for us, it takes anywhere between six to eight months for inventory to work its way through the P&L. So you may be seeing deflation or lower inflation today. That's not going to hit the P&L today because you've got like six months of inventory or whatever it may be that still has to work its way through the P&L. So we saw a little bit of that in Q3. In the prepared remarks, you'll notice that we would expect to continue to see that kind of in Q4 and Q1 probably. I think Q2 will be more of a normalized view from an inflationary perspective. So you just need to keep in mind there's a bit of a lag between what you're reading about versus what's been purchased and working its way through the P&L.
David Endicott: And Ryan, on supply chain, just to comment, that -- look, everything's looking pretty good right now, honestly, but it always looks good until it doesn't. So the good news is that we've solved some of our challenges. But the supply chain is still pretty fragile. There are outages sporadically on component parts, and we need to make sure that we, again, I want to just make sure we're balanced about how we think about production going forward. We've had a very good run at it, and our manufacturing teams have done a terrific job, I think, of keeping us in product, but you're always kind of one supplier away from some challenges.
Ryan Zimmerman: Very helpful. And then just to follow up, next year, you called out equipment as benefiting from an upgrade cycle, David. And I'm just wondering if you can kind of speak to where we're at from an OUS perspective if you can put it at a penetration level. It sounds like most of the US market's been upgraded, but how long can that upgrade cycle persist beyond, say, the next few quarters? And is that kind of how to think about maybe one of the key drivers for growth next year for 2024? Thanks for taking the question.
David Endicott: Yeah. Ryan, in 2024, I don't know that equipment is going to be that strong. I mean, actually, what's going to be -- what's going to occur is we're likely to get a lot of new equipment out next year that we are going to be testing for part of the year. And that likely will have an effect more in the ‘25 range than ‘24. But what I would say is that the international markets continue to upgrade. We have a very strong equipment number internationally in the third quarter. But you're 100% right. Right now we're selling, we're selling a lot of equipment in the US, but year over prior year, we had a big year last year, so it's pretty normalized in the US. So I would just say that directionally, we're going to sell biometers, we're going to sell visualization equipment, we're going to sell handpieces, we're going to sell in the US, and then we're going to sell a lot of near-term, some CENTURIONs through the end of next year internationally as we end-of-life our Infiniti units. What will happen after that is that we'll go into a new cycle in which we will be upgrading old CENTURIONs. And so remember that most of our phaco machines last -- let's call it eight to 12 years. And so, you get about an eighth of the installed base, let's just call it a tenth of the installed base every year. And we'll see that, we'll try and manage that over the life cycle of our next generation products. So again, we'll try and manage that, with obviously a little enthusiasm in ‘25 when we really get going. But I think directionally, as we said at Capital Markets Day, we expect to be a pretty good place for consumables and equipment through our longer-term planning because we see some real opportunity to improve efficiencies with the new equipment.
Ryan Zimmerman: Thank you.
Operator: Thank you. Our next question is from Anthony Petrone with the Mizuho Group. Please continue with your question.
Anthony Petrone: Thanks, and good morning. Maybe one for Dave and one for Tim. Dave, maybe just an update, I think when we look at the EMV deck earlier a couple of weeks ago, just a reminder on COMET-3, it looks like you could get a headline readout on COMET-3 before the end of the year. And if that's the case, would a mid-2024 NDA submission for dry eye still be on the table? And then the follow-up for Tim would be on earnings next year. Just when we sort of try to think about the FX headwind here, there's still, I think, a little bit of a delay in contact lens manufacturing margin gains. And then we have some mixed outlook for IOLs and just how that plays out. The street is sort of looking for about 12% earnings growth. So maybe just kind of putting all of those inputs into earnings as we think about 2024. Thanks.
David Endicott: Anthony, just on 512, the readouts -- you're 100% right, we will have a couple of the trials. Remember, we've got a third one that's an observational trial that matures somewhere in the end of second -- end of first quarter. But we should have some data to look at. If it's positive, obviously, it'll probably take us four or five months to get it into a submission format. So obviously that would be around mid ‘24. So I think you're on the right track there. Again, we'll have to see how that data looks. And then, Anthony, I would just say on earnings next year, again, we'll give you more color in February, but we'd expect to grow faster than the market as we talked about. I think the delay in margin, what I would expect is that we will continue to expand margins in Vision Care. Some of that is driven by, to your point, the installation of the DSM flex lines, and that has become a bigger percentage of our overall manufacturing footprint. So that drives incremental improvements. And if we get that revenue growth and we control our cost envelope, we should continue to see margin expansion and obviously that will drop right through to our earnings growth. But we'll give you more color in February.
Anthony Petrone: All right. Thanks a lot.
Operator: Thank you. Our next question is from Steven Lichtman with Oppenheimer & Company. Please proceed with your question.
Unidentified Analyst: Hi, guys. This is [Ron] (ph) on for Steve. I wanted to ask if you guys can talk a little bit about the capital equipment environment you saw during the quarter? Comps were slightly tougher in 3Q versus 2Q. But anything else to note in terms of customer readiness to invest in capital? And then I've got a short follow-up. Thanks.
David Endicott: Yeah, Steve, I think on the capital, it is a little bit tougher, I think, in the US, but I think really the bigger picture is in the US capital equipment for us is more of an upgrade cycle phenomenon. So I think we see steady purchasing of equipment still, and we are selling a lot of biometers. We're selling a lot of visualization in the US. Internationally, we had a very robust quarter. I would have said that we might have expected a little bit more of a slowdown. We didn't see it. Some of that is that we're gaining share. Some of it is that we've got some very compelling equipment. And I do think we've been remarkably successful with our new diagnostic, our new visualization equipment, and a number of our other pieces of equipment and the handpieces and the like. So still solid for us, but I would say the US is a little bit slower than international.
Unidentified Analyst: That's great. Thanks. And then just a short call up, maybe you guys can give us an update on Precision7.
David Endicott: Yeah, we obviously are working on Precision7 now. We're building the product. We haven't announced a launch date. I do think that the kind of key thinking on this will be how do we maximize the number of products that we have right now in the market. We just launched our Total30 multifocal lens. We're excited about that. We just really launched a year ago our DailiesTotal1 Toric, which has been a long time coming. And we've got DailiesTotal1 Toric and Sphere, again, growing really nicely after more than 10 years, as I said in the prepared remarks. P1 is still growing. The toric’s probably the most popular toric right now for new fits. And so I think directionally, we've got a lot to work on. So we've got T30, T30 Toric, T30 Multifocal. We've got our Precision1 Toric that's going well. We've got DailiesTotal1 Toric. And we just -- we've got lots to do, let me say it that way. And I am very encouraged about the performance, particularly in the US and Japan, where we're seeing really nice uptake and very solid share movement. So I think, again, when we think about growth drivers, we feel very good about our Vision Care business.
Unidentified Analyst: Thank you so much.
Operator: Thank you. Our next question is from Jeff Johnson with Baird. Please proceed with your question.
Jeff Johnson: Thank you. Good morning, guys. David, maybe I can follow up just on all the toric multifocal comments you were just making. That 9% contact lens number, obviously a solid number. It's been solid here for a few quarters running. How much of that was price? I know Larry asked price overall on company, but how much of that was price? And how much is mixed, just given the good cycle you're going through on all the specialty sides of those product families? Thanks.
David Endicott: Yeah, Jeff, I mean, it was -- you're right. I mean, the global market was 6%. We grew 9%. I think there is a bit of share in there. There's a bit of price and there's a bit of mix. And I would just say that price was probably about a third of that. And so I think we feel like, that's probably a pretty good place to start. I think mix is obviously helping us as we move continuously to Dailies, and particularly our Dailies toric is giving us a nice lift, both in price and mix. And so again, I feel like we're kind of on a nice move here.
Jeff Johnson: Yeah, and then I guess follow up just on the contact lens business, outside of ATIOLs, it's rather kind of consumer facing, I guess, some of your OTC stuff as well. But just your outlook with what we've seen of the consumer here over the last couple of months, your outlook for kind of consumption of contact lenses, any trade downs, any kind of pause, anything you're seeing there? I guess that's it. I thought I had one other part, but I’ll just leave it at that. Thanks.
David Endicott: Yeah, I mean, contact lens, the patients looked like it was pretty normal. I mean, I would say the US was a little bit better than international. I think unit movement on what we call [EQ] (ph) basis, a number of patients getting lenses looked like it was very normal for historical rates, kind of roughly up 1%. I do think that internationally it was a little bit softer. I think it was down 1%. So kind of flat overall. That's very normal historically. Remember that most of this business is about trade-up and trade-up was exactly where we would have expected it. And again, I think with a little bit of price, a little bit of trade-up and then for us it was a little bit of share.
Jeff Johnson: Thank you.
Operator: Thank you. Our next question is from Graham Doyle with UBS. Please proceed with your question.
Graham Doyle: Hi guys, thanks for taking my questions. Just a quick one and then a slightly longer one. On the quick one, so could you just confirm, we did hear that right, so US IOLs as a market grew 2% and you're completely, you've been taking share there or at least maintaining in Q3, so it's like a sequential improvement over Q2. And then maybe Tim, just one on the guidance range for this year in terms of core EBIT margin, obviously still pretty wide as we go into the last quarter, is -- it was kind of unusual, is that a reflection of the fact that you've got this kind of stronger contact lens margin or Vision Care margin at Q4, and therefore maybe it's a slightly different mix potential than usual, is that what gives you kind of hope that there's upside in terms of where we stand today? Thank you.
David Endicott: Yeah, Graham, total procedures in the market grew roughly 3%, 2%, depending on how you want to round it. Internationally, it grew a little faster than that, and the globe grew about 4%, But most of the international growth was in emerging markets, I would just tell you. So again, and relative to our performance in market in the US, we saw monofocal share grow, we saw PCIOL share grow, we saw torque decline, those are all year-over-year, but sequentially torics improved. So I would just say overall our total share grew and again I think in the US we had a pretty solid performance and pretty much as expected. I just remind you, people try things in this market because it's a discrete opportunity to do that, but they generally come back to the products that they think are the best performing products.
Tim Stonesifer: Yeah, and then I would just say on the margin, it's really going to be volume driven and mix to your point. It really just depends on, we've always said that we sort of pick the midpoint, so I'd probably stick with that. But it could be plus or minus depending on what the final revenue and volume numbers look like.
Graham Doyle: That's great. Thanks a lot guys. Appreciate it.
Operator: Thank you. There are no further questions at this time. I'd like to hand the floor back over to Dan Cravens for any closing comments.
Dan Cravens : Well, thanks, everybody, for joining us. If you have any follow-up questions, certainly feel free to reach out to Allen Trang and myself in Investor Relations or for media, reach out to our Media Relations team. Thanks again. Have a great day.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.